Operator: Good morning and welcome to the Hilltop Holdings Second Quarter 2017 Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would like to now turn the conference over to Isabell Novakov. Please go ahead.
Isabell Novakov: Good morning. Joining me on the call are Jeremy Ford, President and Co-CEO; Alan White, Vice Chairman and Co-CEO, and Will Furr, CFO. Before we get started, please note that certain statements during today's presentation that are not statements of historical facts, including statements concerning such items as our business strategy, future plans and financial condition are forward-looking statements. These statements are based on management's current expectations concerning future events that by their nature are subject to risks and uncertainties. Our actual results, capital, and financial conditions may differ materially from these statements, due to a variety of factors, including the precautionary statements referenced in our discussion today and those included in our most recent annual report and quarterly report filed with the SEC. Except to the extent required by law; we expressly disclaim any obligation to update earlier statements as a result of new information. Additionally, this presentation includes certain non-GAAP measures, including taxable equivalent net interest margin and taxable equivalent net interest margin before purchase accounting adjustments. A reconciliation of these measures to the nearest GAAP measure maybe found in the appendix of this presentation, which is posted on our website at ir.hilltop-holdings.com. And now, I would like to hand the presentation over to Jeremy Ford.
Jeremy Ford: Thank you, Isabell and good morning. For the second quarter of 2017, net income was $62.5 million or $0.63 per diluted share. Results included two positive and significant items. First, $11.6 million pre-tax related to the resolution of the SWS Merger appraisal proceedings. Resolution of this matter resulted in 1.9 million shares of HTH common stock being retired. Second, $15 million pre-tax related to the recording of an insurance receivable associated with the single large loan previously charged-off. For the second quarter 2016, net income was $31.1 million or $0.32 per share, which included the provision related to the single large loan charged off in the second quarter of 2016. Our ROA was 1.94% in the quarter, relative to 1.05% in the prior year. Our ROE was 13.2% in the quarter, relative to 7.1% in the prior year. Hilltop's four operating businesses reported $84.4 million in pre-tax income. PlainsCapital contributed $60 million, PrimeLending contributed $19 million, Hilltop Securities contributed $16 million, and National Lloyds had a $10 million pre-tax loss, due to the elevated storms related to losses that we expect in the second quarter. Common equity increased to $1.9 billion, up $4 million from the prior quarter. We remain well-capitalized with a 13% Tier 1 leverage ratio and 17.5% common equity Tier 1 capital ratio. Importantly, Hilltop announced its Board declared a third quarter cash dividend of $0.06 per common share and that we repurchased an aggregate $8.8 million of outstanding common stock in the second quarter. Moving forward, I’ll hit on items not previously discussed. Our book value per share increased to 19.62. Our net interest margin increased to 4.05% from 3.54%, and excluding the effects of purchase accounting it increased to 3.23% from 3.05%. Our assets grew by nearly $1 billion to $13.3 billion. Our loans grew to $6.3 billion, and our deposits increased to $7.6 billion. Our non-covered NPAs to total assets remain sound at 26 basis points, and our allowance to non-covered loans ended at 97 basis points. And I’ll now turn the presentation over to Alan White.
Alan White: Thanks Jeremy and good morning everybody. The bank in the second quarter had an ROA of 1.63% that was driven by strong loan growth. We had a strong NIM and our credit quality continues to be very sound, and we did have a one-time increase in non-interest income related to an insurance receivable that we got, $15 million. Quarterly the banks non-covered held for investment loan growth was 5.8% or 25% annually; that’s very strong, and we’re very pleased with that number. That’s also favorable, we have a loan pipeline of about $2 billion of which $700 million of that are construction loans that are continuing to fund up, so that’s favorable from our side. Loan growth accretion and stable deposit cost continue to help our margin and we feel like we’re very well positioned at this point as we continue to see rising interest rates that we will be able to expand that margin. So, we feel good about that. We recorded an insurance receivable related to a loss that we had a year ago this quarter on FR3 #24.5 million fraud deal, and the receivable that we got was based on a forgery on that. We continued to pursue actively legal remedies against the guarantors and we feel confident in our position, and I’m hopeful we will see more to that. As far as the energy goes, but same story 2.8% for total loans, not much change there. We are well reserved, 17% of that portfolio is classified, we see no change in it and we do not have any shared national credits. Our non-interest bearing deposits of 30% was down just a little bit, but that’s kind of a seasonal deal, and we’ve been able to hold those deposit cost in-line with the rising rates. We’re operating in 62 branches and we’ve recently sold the branch in El Paso, which was a small branch in a market that honestly is a long ways away and this wasn't a place for us to be. We hopefully will be able to close that sometime in September. So, I want to remind you at the bank, we had solid loan growth, we’re operating in a very vibrant economy in Texas. Our net interest margin is positioned to take advantage of any rising rates to come along and we’ve been able to do that and we’ve been able to using strong underwriting criteria, we’ve not given on that. So, we feel really good about where we are and where we’re going. At PrimeLending our funded loan volume declined 2.2% quarter two, compared to the industry of 9.2% decline. So really what you’re seeing here, as the refinance goes away you’re seeing the purchase side pick it up and so our business model with a purchase model we only had a 2% decline. So that purchase business is picking up for what we’re losing on the refinance side. So the type of business type model we have are fitting right in. For the second quarter, we were 86% purchase volume in the industry is 68. Again that fits right into our model. Our net gain on loans decreased in the second quarter, due to increased loan volumes were down. In the end, what I had been saying in previous times, we have seen before, as you switch from a refined market to a purchase market, you see people who were not in the purchase business are about cutting rates, and so we’ve gotten squeezed a little bit and that’s going to be one of the reasons that you see our net gain on sale is going to decrease so that’s pretty natural. We think this will probably go away in another quarter or so. We continue to have a 0.88% market share, and we've 1.11% market share of the purchase business. So, even though the business is down some. We feel very good about where we are and very good about the performance. Right now, the big issue in the mortgage business is lack of inventory. We have mortgage producers out there that may have 10 or 15 people who have been approved for loans, but there are no houses. There is no inventory, and so that’s kind of a unique situation and that is totally around the country. One thing that is helping us pick up some of this volume is renovation loans because since there is not any houses people are now deciding to renovate and we do renovation loans, so we are seeing a nice increase in that even though there is smaller top lines. As far as HilltopSecurities goes, they had pretax income of $15.8 million, compared to $18.3 million last year. Their pre-tax margin is very good at 15.3%, down a little bit from last year, but very respectable. Year-over-year results are probably kind of driven by decrease in revenue associated with public finance, more of a seasonal type deal over the last two quarters or stronger than the first two, and capital markets is off rather now. We’re offset by a positive impact on higher short-term rates in both the retail and the clearing business, so as a rates move up we’re going to benefit significantly from that; and that is becoming true. Our net revenue decreased 6.5% to 103 million, compared to quarter two last year. Public finance and capital markets revenue declined 10.8 million, primarily to reductions as I said in revenues associated with bond sales, trading, underwriting, which is that time of the year. Moving to short-term rates provided for 2.5 million year-over-year, revenue increased and that will continue to grow as rates continue to move up and as we continue to grow the business. We have $25 million, assets under management through our municipality. So, those are times we take advantage of and we have big balances in both our retail and our clearing areas of over $2.5 billion that certainly helps for the bottom line. We had no integration cost this time versus last year we had 800,000; comp ratio was up a little bit in quarter two 2017, compared to quarter two 2016. And our non-compensation related non-interest expense declined 13.5% year-over-year, lot of that is commission, but there is a lot of expense that’s being cut through the consolidation. So, I think they had a very respectable quarter and anticipate better things. National Lloyds seasonal spring storms during the quarter two drove the loss and LAE ratio of 92.1%, an improvement versus quarter two of 2016, where we had in LAE ratio of 96.1%. The second quarter is seasonally the heaviest weather for National Lloyds, but the loss in LAE ratio is below historical three-year averages for the second quarter, and we’re pleased with that. Quarter two, our expense ratio was 39.7, an increase over quarter two 2016 of 33.9 and all that’s due to decline in net premiums earned. The decline in premiums written and net premiums earned is a result of increased competitive pressures in the National Lloyds market, especially in Texas, and that is kind of been offset by rate increases that we have instigated. So, policies are dropping off and ratio going up and so we’ve got to concentrate on selling more insurance as we go forward, but weather wise we had a good quarter, hopefully now we are into the third and fourth quarters would normalize somewhat and we will see better results. So that is the operating statement, and I will now turn it over to Will Furr.
Will Furr: Thanks, Alan. I will start on Page 7. Net interest income for the second quarter of 2017 equated to $116 million, an increase of $24 million from the prior quarter and $16 million from the same period prior year. Net interest income in the second quarter of 2017, included $23 million of purchase loan accretion. Purchase loan accretion increased versus the first quarter by approximately $11 million and $6 million from the second quarter of 2016. Second quarter 2017 accretion results reflect the accelerated resolution of several loans and our covered loan portfolio. Net interest income growth, excluding the impact of purchase loan accretion improved by approximately $10 million, driven by solid loan growth improving loan yields, and improving yields across our securities portfolios. Reported taxable equivalent net interest margin for the second quarter was 4.05%, an increase from the prior quarter of 51 basis points, and 25 basis points from the same period prior year. Excluding the impact of purchase loan accretion across all periods Hilltop's taxable equivalent net interest margin in the second quarter was 3.23%, up 18 basis points versus the prior quarter, and up 15 basis points from the same period prior year. At the Bank, taxable equivalent net interest margin, excluding purchase loan accretion equated to 3.69%. Interest-bearing deposit cost increased by 9 basis points versus the second quarter of 2016. This increase is driven by growth in money market deposit balances, and our testing of new rates in terms, across our deposit products as we focus on attracting new core deposit relationships. The bank's investment portfolio, which represents approximately $1 billion in securities, maintained a taxable equivalent book yield of 2.12%, which was relatively stable with the first quarter of 2017. Given the current market conditions and our securities redemption mix, the reinvestment rate in the portfolio is approximately 2.25%. Moving to Page 8, Hilltop reported total non-interest income of $345 million in the second quarter of 2017. As Jeremy discussed, second quarter 2017 results included items related to the resolution of the Southwest securities appraisal proceedings and the recognition of an insurance receivable related to a significant charge-off that occurred during the second quarter of 2016. These items are reflected in other non-interest income and equate to $26.6 million. During the second quarter, mortgage related non-interest income declined by $13 million or 7%, while mortgage rate lock volume declined 6%, versus the same period prior year. Insurance revenues declined versus the same period prior year by approximately $3 million driven by business competition and the ongoing optimization of our book of business. The securities business improved on a linked-quarter basis, but declined by $6.5 million, compared to the second quarter of 2016. The decline in net revenues versus the prior year relates to lower market activity in our capital markets and public finance business. Moving to Page 9, we reported second quarter non-interest expenses of $366 million, relatively stable with the same period prior year. The second quarter, included $4.2 million of FDIC indemnification asset amortization at approximately $1 million related to the FDIC loss share agreements. These expenses are reflected in other non-interest expense. Compensation of benefits expense decreased from the second quarter of 2016 by $3 million as a result of lower commission-based compensation across the Hilltop businesses. Moving to Page 10. Total assets of $13.3 billion increased by $950 million or 8% versus the first quarter of 2017. The growth in assets was driven by an increase of $334 million or 6% in non-covered loans and loans held for sale increased by $670 million as a result of seasonal volume improvement in the mortgage business. Broker dealer clearing receivables remained relatively stable versus the prior quarter and are being managed to a target of approximately $1.5 billion. During the quarter, the FDIC indemnification assets declined $7 million or 16%. This decline reflects $4.2 million of asset amortization during the quarter. We do expect to continue amortizing the FDIC indemnification asset throughout 2017. Total deposits have grown 3% or $245 million, versus the prior quarter to $7.6 billion. We are actively assessing the competitive environment and continue to test new rates and promotions to attract core relationship deposits. Capital levels grew in the second quarter as common equity increased by $4 million versus the prior quarter. Common equity was impacted during the quarter by approximately $15 million, due to common stock dividends and share repurchases, as well as by approximately $47 million, due to the retirement of shares related to the Southwest securities appraisal rights proceedings. Hilltop's Common Equity Tier 1 ratio equated to 17.53% in June 30 and PlainsCapital Bank’s Common Equity Tier 1 ratio equated to 13.95% for the current period. Moving to Page 11. PlainsCapital Bank's pretax income increased to $59.8 million in the second quarter 2017, versus $21.6 million in the second quarter 2016, primarily due to lower provision expense. Note, that the second quarter of 2016 included a large loan charge-off of approximately $24.5 million. Second quarter also included higher purchase loan accretion in the quarter, and the $15 million reinsurance receivable noted earlier. Non-interest expenses increased compared to the second quarter of 2016 to increases in net expenses related to cover assets for reposition and foreclosure, and include legal expenses. Briefly touching on Pages 12 and 13, PlainsCapital exposure to energy continues to moderate. As of June 30, our energy loans remain at 2.7% of total loans, while the reserves against our energy exposures has also remained stable at 7.1%. Overall, credit quality remained strong as non-covered NPAs to total loan as of June 30 was 26 basis points. Moving to Page 14. PrimeLending’s pretax income equated to $19.3 million in the second quarter of 2017. During the second quarter, the mortgage business originated $4.1 billion in loans representing a decrease of approximately $92 million or 2% versus the same period prior year. The second quarter of 2017, mainly included 556 million of loans originated to refinance existing mortgages. Versus the prior year refinanced volume declined 37% or $333 million consistent with expectations, while purchased mortgage volumes increased by $241 million or 7% from the same period prior year. Consistent with our ongoing strategy, the mix of purchase volume increased 86.3% in the second quarter of 2017 from 78.6% in the second quarter of 2016 and is in line with our expectations given current market conditions. Non-interest income declined $13 million or 70% from the second quarter of 2016 to $180 million in the second quarter of 2017, driven by decline in net gain on sale margins and lower mortgage rate locks, which declined 6% versus the same period prior year. Non-interest expenses were relatively stable versus the same period prior year, as variable compensation costs declined in-line with sales volumes. Second quarter expenses do include a net increase in the indemnification reserve related to loans sold in prior periods, and increase in occupancy expenses that relate to growth in the sales franchise and additional mortgage origination branches. Moving to Page 15, HilltopSecurities pretax income equated to $15.8 million in the second quarter of 2017, a decrease of $2.5 million versus the same period prior year. Pretax margin equated to 15%, reflecting improving impact of short-term rates ongoing cost savings, related to the business integration, as well as lower legal fees, partially offset by lower net revenues in capital markets and public finance. The securities compensation ratio equated to 60.9% in the second quarter of 2017, compared to 58% in the same period prior year. HilltopSecurities provided PlainsCapital Bank with approximately $1.3 billion of core deposit as of June 13, representing 52% of the available $2.4 billion of FDIC insured balances. Moving to Page 16. National Lloyds ordered a pre-tax loss in the quarter of $10.4 million, while strong storm activity can be unpredictable. Texas did experience the expected seasonal uptick in storm activity during the quarter. The storm activity resulted in a loss ratio of 92% and a combined ratio of 132%. The increase in the expense ratio of 40% is primarily driven by a decline in net premiums earned. That concludes our comments. I’ll turn the call over to the operator for the Q&A portion of the call.
Operator: [Operator Instructions] The first question comes from Michael Young with SunTrust. Please go ahead.
Michael Young: Hi, good morning.
Jeremy Ford: Good morning
Alan White: Good morning.
Michael Young: Wanted to start just with capital, obviously the share buyback this quarter being used a little bit and you've got the $0.06 dividend now, any other additional capital actions or things we should anticipate in the interim until M&A comes to fruition?
Jeremy Ford: No, I think we’re paying the dividend now and it’s equated to about 15% payout ratio. We have done share repurchases, which is similar to that. So I think it’s about 30% year-to-date and we're going to evaluate the dividend every quarter, but it’s most likely first quarter 2018, and one other thing with this SWS appraisal rights settlement is effectively capital transaction is that we effectively repurchased 1.9 million shares that we’re pegged for the petitioners.
Michael Young: Thank you. And A Jeremy may be as well, if you could just update us on just what you're seeing in the M&A pipeline, have you seen more conversations as we’ve seen a little more stock price in the stability here or any updates there?
Jeremy Ford: I think there’s been two deals greater than $250 million in assets that have been announced this year in Texas. And I think going into the year, we would have expected more and those deals average or median price has been like 2.4 times tangible book value, and they have been high stock deal. So, I don't think much has changed since last quarter. We remain active and pursuing opportunities, and have the capital and that’s what we think our primary use for that capital will be.
Michael Young: And Alan maybe switching gears just to Houston, have you guys started to grow that portfolio at all and maybe just [indiscernible]?
Alan White: We have grown on loan portfolio about 20%, of course that’s from 150 million to $180 million, but that is progress. We’re seeing more deals. Even though oil prices are kind of flat, there is pockets that economy is pretty good. So, I think we finally know. We’ve hired a couple of new people, and then we’ve hired a couple of new people in our wealth management area that we think are going to be able to help us not only a wealth management area, but introduce us to other banking relationships. So, we’re making some progress down there little bit at a time, but it’s progress and I’m a little bit more optimistic. We still have to buy something, but till we do, we’ll keep [indiscernible] one bite at a time.
Michael Young: Okay. Thanks for that color, I will step back for now.
Alan White: You like that color of that [indiscernible].
Operator: The next question comes from Brady Gailey with KBW. Please go ahead.
Brady Gailey: Good morning guys.
Jeremy Ford: Hey, how is it going?
Brady Gailey: Good. So, if you look at the core margin, as you said it was up notable on a linked quarter basis linked quarter basis. I know we've talked about the 305 level is kind of being a good level plus or minus some, but just any color on why the core margin expanded so much and where do you think that will trend going forward?
Will Furr: Hi Brady, it’s Will here. I think, again, we obviously a good quarter from an accretion perspective, but also we - the NIM and NII kind of reflect strong recoveries from previously charged off interest and so as we kind of look forward we’re going to update our guidance for net interest margin, previously 305 plus or minus three and we are going to move that to 310 plus or minus three. Again, we’re keeping a focus on asset prices, I would give you guys the update that from a loan perspective, we’ve noted over the last couple of quarters that we’ve got a portfolio of our adjustable rate loans that are currently below their floors that has declined from what was previously about $1.8 billion to $1 billion as of the end of June. So we have only $1 billion of loans that are remaining kind of the below floors, and so we are starting to see the benefit of rates and the impact of resetting. I will say, with the June increase, we do expect to see rates or our loans again reset over the next 30 and 90 days to help drive NIM forward. So, again guidance for NIM at the Hilltop level 310 plus or minus three.
Brady Gailey: All right, so I thought the $15 million insurance payment was in fee income, but did some of that show up in spread?
Will Furr: No. So, when you, I mean what I'm talking about previously charged off loans not related to the significant loan charge off, the $24.5 million loan charge off last year same period, but just normal course recoveries of previously charged off loans you will also recapture interest which flows back through net interest income.
Brady Gailey: Got you. Okay. And then if you look at the end of period share count, you saw the buyback there, you also saw the shares you got back from SWS deal, how will that impact the diluted share count, in the third quarter, can we expect to see that come down to 97 million shares.
Will Furr: I would expect it to be closer to 96.3 [ph] to 96.4 [ph], again that Southwest securities appraisal proceedings effectively closed in the third week of June. So from an average share perspective it had little impact on the second quarter.
Brady Gailey: All right and then finally from me, it was a big loan growth quarter, it sounds like some of that is construction-related, but can I just talk about what pushed growth up so notably?
Jeremy Ford : One thing that pushed it up is we didn't have any payoffs, which helps, but that 80% to 85% of what we’re doing on now is real estate. So some of it is construction, but it is certain types of real estate loans, and I’m really pleased with that number. I don't think we're going to end at 25% loan growth for the year. I still think we’re 8% to 10% like I have been saying all along. And I think that’s what we’re shooting for, but I’m please because our underwriting is tough and our people are able to make deals, close deals, based on the underwriting guidelines we have. So, like I say, that’s a pretty good number and we’re fortunate, we didn’t have the payoffs that we did in the first quarter and that’s why it looks good, and I think we will be pretty good in the third quarter too. So, I am positive about the loan area. We’ve got 156 loan announcer and they’re working their butts off. In most of the markets that we deal in, in Texas are in pretty good shape. Dallas-Fort Worth is strong, Austin is strong; Corpus is strong. We're making a little ground in Houston, Lubbock is always stable. So we’re working in some good areas and there’s lots of opportunity and we’re out there shaking the bushes and beating all doors.
Brady Gailey: Got you. Thank you.
Operator: Next question comes from Matt Olney with Stephens. Please go ahead.
Matt Sealy: Hi good morning guys. This is Matt Sealy on for Olney. Want to circle back on the margin, the accretion ticked up in 2Q, wonder if you have any updated outlook going forward?
Will Furr: I think from an accretion perspective, obviously we are winding into - we are winding kind of through the overall process of the most significant deal, obviously the second quarter was very strong. So as we look out, I would put us at the low end of the prior range, you know $10 million to $12 million is what we’ve guided previously, and I would put us at the low end of that, on our recurring basis. That said, I would note we are coming to that point where individual workouts can move the number and as you see in the second quarter and so we do expect some variability in that quarter-to-quarter.
Matt Sealy: Okay, makes sense and back on the core NIM guidance of 310, plus or minus 3 bips, does that include any expectations for further non-accrual recoveries or is that ex-those?
Will Furr: It assumes a normal level of non-accrual recovers.
Matt Sealy: And on the broker-dealer it looks like revenue improved sequentially, but it was down year-over-year, what’s the reasonable goal going forward and what’s the year-over-year revenue outlook?
Jeremy Ford: Yes, what said that leading into the year, and I think it is consistent as we are expecting about $400 million of net revenue for the year. And it typically builds; the first quarter is your weaker quarter and it typically builds through the year.
Matt Sealy: Okay, and just one last one in the bank, mentioned something about lower Durban interchange impacting fee income during the quarter, is this a good run rate, and how should we be thinking about that going forward?
Will Furr: So the Durbin impact started July 1 of last year, so this is the last quarter where our year-on-year comparison would cause otherwise it to be down. So, I think the run rates in the current quarter are consistent and I would use those going forward.
Matt Sealy: Okay, great. That does it for me guys. Thanks.
Operator: Next question comes from Scott Valentin with Compass Point. Please go ahead.
Scott Valentin: Thanks. Thank you for taking my questions. You guys mentioned, I guess testing new rates in terms on your deposit products, I am just wondering if you could give some more detail there, may be what those programs might entail is it new customer targets or is it balance driven, just trying to get some more color on what you are trying to test for?
Will Furr: I mean I will start and then turn it to Alan. We’re across the CD spectrum looking for kind of where the breakpoints in the market are, as well as in our money market suite as well looking at places where it makes sense for us to enter from a pricing and cost perspective and then testing that across the footprint in an effort to grow, again grow core deposits and continuing the momentum there.
Alan White: We will hit on the head. We have been able to hold those rates down at this point and we test these new products and you got a lot of people out there in the marketplace that are starting to react and rebalance, especially the smaller places that will offer bigger rates, but right now we’re able to hold ourselves, keep it down and as we look at these products and stuff, we can through some of them in there that will be very competitive. So, we're prepared if and when we need to, we would like to kind of ride the cycle as far as we can. So you got to remember, we still have a lot of liquidity that comes out of the broker-dealer at those suite deposits that we have over there. So, we do have a comfort level there that we use. So, we're going to do what’s smart and what’s cost-effective that’s going to help our bottom-line and not go out and buy a bunch of money and pay too much for it. So, we're going to watch this closely.
Scott Valentin: Thanks for that. And then on the mortgage bank, the originations and again on sale margin are pretty much in-line, it looks like you guys sold fewer loans during the quarter and I know you ended the quarter with a pretty big held for sale, I think it was $2 billion held for sale, just wondering if there was any timing issues during the quarter, if it’s just ending up that way.
Will Furr: We are through the quarter first point, and I think I made it in my comments as the second quarter is always going to have higher kind of volume levels, and hold levels then. The first quarter, and I think that’s just normal seasonal activity. We do review as we disclosed the whole periods for loans, and are currently kind of standard deliveries for the agencies, standard delivery from an agency perspective, and again we will - as we kind of roll through the normal cycle, we don't time it again around the quarter. So, you could see it move higher towards the end of the quarter, and then it will be normalized as we work through the sell process early in the third quarter.
Scott Valentin: Okay. Thanks for that. And on the Lloyd subsidiary, I know the second quarter is always a challenge because of the weather, the seasonality, but anything kind of non-recurring there that you call out or are they just typical seasonality and expect to recover in the back half of the year?
Jeremy Ford: I think it’s the latter. Second quarter is always the worst weather pattern for us in Texas with tornado hail. This past quarter was similar to year prior, and my expectation is for a similar second half of the year as last year, albeit our top line is a little softer.
Scott Valentin: Okay, thanks very much.
Jeremy Ford: Thank you.
Operator: Next question comes from Michael Rose with Raymond James. Please go ahead.
Michael Rose: Hi, good morning guys, how are you?
Jeremy Ford: Very good, Michael.
Michael Rose: Just wanted to follow-up on the deposit question, we saw one of the other banks in Texas yesterday, you know go out with some decently higher deposit rates from where they were, so just wanted to get your longer-term thoughts about how you think, your deposit pricing strategy plays out and if you feel a need in the near term to raise rates?
Will Furr: I think as Alan said, and I would reiterate, we feel very good about current liquidity position and our liquidity position as we look forward. So, we are being prudent around the way we are evaluating all of our deposit prices and kind of all of our funding mix. We are always in the market looking to grow core relationship deposits, and again those, that kind of is the foundation for the comment around pricing, whether it be CDs, money markets, or otherwise our core checking and other accounts. So - but again the goal and objective for us is going to be to maintain pricing discipline. As Alan said, we are not going to chase rate because we don't need to at this point, and so we are watching it, and we’re watching all of our competitors. We are seeing some folks that are moving more aggressively, but at this point we are being prudent in the way we are evaluating the overall cost to deposit.
Michael Rose: Alright, just as a follow-up to that, how should we think about where you would get uncomfortable from a loan-to-deposit ratio perspective? I guess, at the bank and then at the consolidated level, I mean, is there a certain threshold that you wouldn't want to breach?
Will Furr: I think if you evaluate our loan deposit ratio, excluding the loans held for sale, which driven again seasonally by the mortgage activity, I think if you saw it moving towards 90%, you would start to move, but again we’ve got a lot of funding sources. We’ve got a lot of access across all of our channels, and so again, we continue to manage liquidity very closely and very tightly, but are going to be prudent both in terms of pricing, but also acquisition cost.
Michael Rose: Okay. I think that does it for me. Thanks guys.
Will Furr: Thank you.
Operator: This concludes our question-and-answer session. Thank you for attending today's presentation. You may now disconnect.